Operator: Hello and welcome to the third quarter earnings conference call for Amphenol Corporation. Following today’s presentation there will be a formal question-and-answer session. (Operator Instructions) I would now like to introduce today’s conference host, Ms. Diana Reardon. Ma’am, you may begin.
Diana Reardon: Thank you, good afternoon. My name is Diana Reardon and I’m Amphenol’s CFO. I’m here together with Martin Loeffler, our Executive Chairman and Adam Norwitt, our CEO and we’d like to welcome you to our third quarter call. The results were released this morning I will provide some financial commentary on the quarter and Martin and Adam will give an overview of the business and current trends we’ll then have a question-and-answer session. The company closes the third quarter with sales of $717 million and earnings per share of $0.47 exceeding high end of the company’s guidance. Sales grew sequentially by 5% in US dollars and 4% in local currencies over Q2, compared to last year sales were down 17% in US dollars, 16% in local currency and 20% organically. Excluding both acquisition and currency impacts, a strong performance and a tough demand environment and against a record Q3 in 2008. Breaking down sales into our two major components, our cable business which comprised 10% of our sales was up 7% from last quarter and down 12% from last year reflecting a slowdown in spending primarily in international broadband cable television markets resulting from current economic conditions. The interconnect business, which comprised 90% of our sales was down 18% compared to last year and up 4% sequentially. We experienced year-over-year declines resulting from low end market demand in all markets. From a sequential standpoint we saw growth in the majority of our communications related markets and in the automotive markets. Adam will comment further on trends by market in a few moments. Operating income for the quarter was $124 million, operating margin was 17.3% compared to 16.9% in Q2 and 19.8% last year. Operating income is net of stock option expense of approximately $5.2 million or 0.7% of sales in the ‘09 quarter compared to $4.6 million and 0.5% of sales in the ‘08 quarter. From a segment perspective in the cables business, margins were 16.1%, up slightly from Q2 of ‘09 and up significantly from 11% last year. The margin improvement is the result of the positive impacts of lower average material costs and operational cost reduction actions which more than offset the impact of lower sales volume compared to last year. In the interconnect segment margins were 19.6% compared to 19.3% last quarter and 22.3% last year, an excellent performance given the lower volume levels versus the prior year quarter. The management team continues to work hard to continue to adjust all elements of cost in a proactive fashion. Overall, we’re pleased with the companies operating margin achievement of 17.3% in Q3, up 40 basis points from Q2 of ‘09, a conversion margin on incremental sales of about 28%. We believe that the company’s entrepreneurial operating structure and culture of cost control will provide an opportunity to continue to drive strong profitability as volume improves going forward. Interest expense for the quarter was $9 million compared to $9.8 last year, the decrease from last year relates primarily to lower average rates in the 2009 quarter. Other expense was $345,000 compared to $179,000 of income in Q3 of ‘08. Other expenses comprised primarily of bank fees, fees on the company’s receivable securitization program and interest income. The company had an effective tax rate in the third quarter of 27.5% compared to a rate of 28% in the third quarter of 2008 and a rate of 27.5% for the full year 2008. We expect the same type of rate in the fourth quarter of 2009. Net income was $81 million approximately 11% of sales, a very strong performance on any industry comparative basis particularly in the current environment. The company continues to be an excellent generator of cash. Cash flow from operations was $146 million in Q3. Cash from operations was reduced by about $3 million as the company reduced the amount of receivables sold under its securitization program during the quarter. Cash flow from operations was used for capital expenditures of $15 million. Acquisition related expenditures of $1 million, payments of $5 million to non-controlling shareholders of subs, repayment of borrowings under the revolving credit facility of about $29 million and a $100 million increase in cash investments and cash on hand in the quarter. In addition to its strong operating cash flow and cash and cash investments of approximately $326 million at the end of the quarter, the company had additional liquidity in the form of availability under its revolving credit facility. The company’s $1 billion facility is provided by a bank group and expires in 2011. At the end of the quarter borrowings and availability under the facility were $780 million and $220 million respectively. The company has more than sufficient liquidity to meet its needs. The company also has a $100 million receivable securitization program that expires in May of 2010, under which $76 million in receivables were sold at the end of September. Total debt was $792 million at the end of September down from $821 million at the end of June and the company’s leverage and interest coverage ratios remained very strong at 1.38 times and 15.6 times respectively. EBITDA in the quarter was approximately $156 million. The company continued its strong focus on balance sheet performance in the quarter. All elements of working capital improved, which contributed very nicely to cash flow. Day sales outstanding improved two days from previous levels to 67 days at the end of September. In addition excluding the impact of exchange, inventory was held relatively flat in the quarter from Q2 levels and inventory days improved to 83 days. We’re very pleased with these achievements. Finally, orders for the quarter were $743 million, up a strong 12% sequentially from Q2 resulting in a book-to-bill ratio of approximately 1.04 to 1.00. Orders were up sequentially in most markets with particular strengths in the IT data com and handset markets. From a financial perspective, we continue to be pleased with the strength and consistency of the company’s performance. Martin and Adam will now provide an overview of the business.
Martin Loeffler: Well, thank you very much, Diana. This is Martin Loeffler, and I’d like to welcome you all to our traditional conference call. Thank you for joining. We are very pleased with the results of the third quarter, which Diana just outlined to us. As we appear to be emerging from the recent very severe economic downturn, the Amphenol organization has once again shown that it can perform well in any economic cycle. This downturn, however, was very different from the burst of the economic of the tech bubble in the Year 2000 with a much shorter yet broader and more acute slowdown in nearly all of our markets. We’re very pleased to see our sequential growth returning after only two quarters of sequential decline compared to five quarters of sequential decline in the Year 2001 and 2002. Despite now having more and a very different environment also in Amphenol with a total different market mix supporting different technologies, having a much broader global organization and new leadership with Adam Norwitt, Amphenol has performed in both of these cycles extremely well primarily due to the consistent application of our operating principles and various successful business strategies. This is clearly evidenced by our achievement of very strong operating margins. Our operating margins did not decline below 16% in one of the worst economic slowdowns that the company has experienced and we continued to generate very strong cash flow, despite the revenue declines and looking into the future, we are very confident that Amphenol will grow from this broad platform that we have today and create excellent industry leading performance moving forward. Adam will now give us some highlights on the quarter and the trend in the marketplace.
Adam Norwitt: Thank you very much, Martin and Diana and I’d also like to add my welcome to everybody on the call today. It’s a pleasure to be here with you today. Relative to the third quarter, the third quarter was a very good quarter for Amphenol, as we took advantage of a market environment that is showing clear signs of recovery. While revenues were down 17% from the prior year, we increased sales sequentially by 5% and as Diana mentioned orders by a strong 12% an indication of the benefits of Amphenol’s diversification and our leading technology. We were especially pleased to expand our already strong operating margins to 17.3% and generate that such excellent cash flow. These are both a reflection of the strength and discipline of an agile organization and an entrepreneurial management team who’s followed as Martin said these very consistent operating philosophies. Now, I give a little bit of color to the served markets. Certainly while year-over-year performance was down in all of our served markets due to the broad economic slowdown, we were very pleased to achieve sequential growth from the second quarter in many of our market segments. First, the military aerospace market, which represented 21% of our sales in the quarter and that market, sales decreased 7% from prior year, with more significant declines in sales related to lower commercial aircraft production partially offset by acquisition related gains in our military business. As we had expected, we did experience normal seasonality in the third quarter with sales slightly lower than those in the second quarter. While distributors and certain OEM customers remain cautious in placing orders, we have begun to see especially at the quarter end strengthening in orders related to several new military programs. We are very optimistic that our broad program participation together with what is a non-stop increasing electronic content in the military aerospace equipment will drive performance despite any potential shifts in defense funding priorities among the world’s governments. We expect demand in the military aerospace market to strengthen moderately in the fourth quarter and we look forward to a very strong long term outlook for this important market for Amphenol. The industrial market represented 9% of our sales in the quarter. In that market, sales decreased 33% from the prior year, but we were pleased to see that the market was sequentially flat with the second quarter, a sign of some stabilization in this market, which has been a very difficult one for us. We have begun to see actual signs of improvement in many segments of the industrial market; however it remains too soon to predict the timing and degree of any full recovery for the industrial segment. Nevertheless, we are very optimistic that our efforts in new growth Markets including especially in alternative energy will build momentum into the future. The automotive market represented 7% of our sales in the third quarter. While sales declined 13% from prior year they increased a strong 20% over the second quarter. This was the second straight quarter of strong 20% plus sequential gains. While we’ve experienced these two consecutive quarters of increased production volumes, these have been primarily due to government incentive programs as well as inventory replenishment. We expect some moderation of demand in the fourth quarter yet we are very encouraged by longer term outlook in the automotive market due to the increased electronics in cars as well as our strong position in new hybrid electric vehicle platforms. The broadband market represented 11% of our sales in the quarter and sales in that market decreased 9% from the prior year. However, they strengthened further in the third quarter with sales increasing 10% versus the second quarter. We expect demand in the broadband market to be seasonally moderated in the fourth quarter as we normally would see in typical years. We are especially encouraged in that market by our ongoing development of new cable and interconnect products for the broadband market all of which position us very well with our global customers for the future. The information technology and data communications market represented 20% of our sales in the quarter. While sales decreased 24% from a very strong prior year demand, we were pleased to see a general improvement across the IT market with sales up a strong 14% from the second quarter. In particularly, we experienced in the second quarter strengthening demand for high speed and power products used in enterprise data center equipment. We remain very excited by our ongoing new program wins with our new advanced technologies which position us for continued growth in the fourth quarter and beyond with many of these global customers around the world. The mobile networks market represented 14% of our sales in the quarter. Sales decreased in the mobile networks market by 17% from the prior year and declined an additional 11% sequentially. We have certainly seen a moderation in the third quarter of wireless network deployments from the strong levels that we all saw in the first half of 2009. Nevertheless, our strong relationships with the OEM customers and wireless operators positions us well for future phases of network build out including specialty and emerging markets. Longer term in the mobile networks market, we believe we’ll benefit from increased demand in site installations as well as from our broad presence on next generation and high volume equipment platforms. We expect in the fourth quarter for demand to improve somewhat as operators expand investment for next generation networking. The Mobile Devices market represented 18% of our sales in the quarter. Sales decreased 15% from an extremely strong third quarter of 2008 with significant phone volume declines offset by expansion of our participation on multiple new device platforms. Demand in this market strengthened throughout the third quarter and was up sequentially by 15% compared to the second quarter. This increase was related to an earlier than usual holiday related production increase augmented by accelerating demand for new smartphone platforms. We expect some seasonal moderation of demand in the fourth quarter; however the release of new 3G related mobile products may further stimulate demand beyond our expectations. In summary, relative to the third quarter, I am very proud of our organization. As we have continued to execute well and out perform the industry in what is very simply an extremely dynamic demand environment. While 2009 has certainly been a very challenging period, it is very rewarding to us but we have sustained our industry leading performance and strong profitability through capitalizing on our distinct competitive advantages and those advantages are leading technology, our increasing position with customers in diverse markets, our worldwide presence, our lien and flexible cost structure, and most importantly, a dynamic entrepreneurial management organization. Our performance has clearly broadened Amphenol’s strong platform for further expansion into the future. Relative to the future, I’d like to make a couple comments on our outlook for the fourth quarter. Based on constant exchange rates, as well as a continuation of improving demand trends, we now expect in the fourth quarter the following. We expect to see sales in the range of $720 million to $735 million and we expect earnings per share to be in the range of $.47 to $.49. Regardless of the size and scale of any economic recovery that we are now in, we are very confident in the ability of our standing organization to achieve superior performance and most importantly to capitalize on all of the opportunities that we see today to expand our market position and to expand our profitability. Thank you very much and at this time, operator we’d be very happy to entertain any questions that there maybe.
Operator: (Operator Instructions) Your first question comes from Amit Daryanani - RBC Capital Markets.
Amit Daryanani - RBC Capital Markets: I think one of the questions that all of us may have is really given the strength you seen in September and really what we’re hearing broadly from the tech landscape in general, the December quarter guidance plus 2% of the mid point seems a little conservative, I think given what Amphenol usually sees mid high single growth in December. Could you just talk about, why the conservative guidance for Q4, if you saw some pull ins happen from Q4 to Q3?
Martin Loeffler: I wouldn’t say whether we’re saying pull ins. I mean certainly, we saw some reports today that reflected some component shortages in certain industries, which could imply that we have sold certain components that maybe used by our customers in later quarters. I think what we see here is really a guidance that we’re comfortable with that we’re confident in across all of our markets. We have a diversity of our market segments, which is not necessarily reflective of every other tech company and we’re very confident that diversity has created good strength for us in the downturn. As we move into the fourth quarter all of our market segments we’re very focused on, expanding sequential growth, but at this time, we give a guidance which we think reflects what we hear from our customers.
Amit Daryanani - RBC Capital Markets: Then maybe just on the OpEx structure, I mean I think it was around $95 million this quarter. How should we think about the OpEx line going forward at least in the December quarter where I think you may have to put back some wage increases and year end expenses and then just Adam I guess longer term, you guys that really good job I think bringing the cost down and bringing it out of the model in the downturn. As sales start to ramp back, how should we think about OpEx growth and contribution margins going from here?
Adam Norwitt: I mean certainly our goal was always to gain operating leverage on our expenses and I think we’ve done a extremely good job across the organization of cutting expenses at every level whether they’re categorized as SG&A or factory expenses, whatever overhead our team has been very, very focused that throughout the year and has really achieved good results and that’s reflected in the profitability of 17.3% operating margins in the quarter is really something that we’re very proud of, going forward our mission will certainly be to control those expenses and not to grow them at the same rate that we grow revenue and thereby to achieve good conversion margins as we always have in the past.
Operator: Your next question comes from William Stein - Credit Suisse
William Stein - Credit Suisse: Just a little bit more on the margins, first it seems that in the last two quarters we saw a bit of up tick in revenue and the margin gains have all been on the operating line as opposed to the gross line. Can you help us understand a bit about why that’s not little bit more evenly?
Diana Reardon: I think that we manage the business primarily from an operating income perspective. We have a lot of diversity in terms of markets and products and some of them require higher operating expenses with higher margins and so, but we really focus from a conversion margin perspective. I think our goal is to get $0.25 of incremental sales and we did more than that in the third quarter if you compare it to Q2 and I think that to have achieved these kinds of conversion margins on a 5% incremental sale in the quarter is really an excellent accomplishment. We would look to continue to get that 25% sort of conversion margin as we move ahead into quarters where we hope to see incremental sales volume as we come out of this lower timeframe, so I don’t know I’d focus so much on individual components from margin or OpEx stand, but really would point you more to the operating income line where I think the full benefit of the companies operating leverage can be seen.
William Stein - Credit Suisse: Okay, great and then if I can just a brief follow up on that. In the cable segment, you’ve delivered margin of 16.1%, I think that’s the highest levels since December of ‘02. What’s driven the better performance particularly in the last couple quarters? Is it sustainable and where do you think margins in that business go over the next year or two?
Diana Reardon: I think that the improvement that we’ve seen this year versus last year has come largely from a better material environment if we look at average cost last year versus average cost this year, but in addition to that I think there are two other factors that have contributed to the improvement in margin. I think one is that we have worked hard from an operational perspective to use low cost facilities and to achieve other efficiencies from a production perspective that I think help to drive the profitability up and in addition to that we’ve also worked hard to introduce new products into the channel that show up in the cable segment of the business, some ancillary products that do carry a little bit more technology and there for a little bit better margin profile than perhaps some of the older products that are in the portfolio. In terms of where the margins go from here, I think in the fourth quarter as Adam said the broadband margin, the broadband market tends to be from a seasonal perspective a little bit softer in the fourth quarter particularly in December and so we would expect to see a little bit less volume. We there for would expect probably the ROS for segment to come down some, but I think still be strong and certainly be much, much stronger than it was last year, and borrowing any continuing dramatic change in material cost we would expect to see the business have a good level of profitability as we look down the road.
Operator: Your next question comes from Jim Suva - Citi
Jim Suva - Citi: On your conversion rate of 28%, I believe Diana mentioned it’s typically $0.25 per dollar are there any type of revenue threshold levels that you’ll hit that all of a sudden you need to start adding a little bit more cost that would take that $0.25 per dollar lower? I just want to make sure that as we start to come out of this recession in demand pressure time if we’re thinking about the model and the flow through correctly to make sure if we have to take it down to $0.20 at some revenue level or $0.25 per dollar still a good run rate for quite a long time?
Adam Norwitt: I think conceptually, we don’t manage the business with these kinds of step function cost increases. We run the business as we always have in the moment in terms of our costs and so we do not look to raise our infrastructure in such a way that can impact those conversion margins. We drive all our management teams to high levels of conversion margins and certainly in a time period like this where we have worked very hard to bring down this overhead. We aren’t going to be adding it back with any lightness in our heart. I think that there’s no question that we have good operating leverage in the company and we believe there’s no change to these goals going forward.
Jim Suva - Citi: A quick follow-up, on the cost side of the raw materials year-over-year, aluminum and copper continued to be down, but on a sequential basis it looks like they would have a pretty sizeable increase. Do those start to turn into a little bit of a headwind sequentially or have you locked in anything or how should we think about the pass through of impacting margins?
Diana Reardon: We haven’t locked in anything. Our philosophy typically is not to hedge, but to look to mitigate these types of increases through pricing and also through other cost reduction actions. You’re right that there has certainly been some increase in aluminum, which is our biggest material on the cable side of the business as we’ve got a long in the quarter and there will be some impact from that, but as I said before, we still feel the margins in that business if things sort of stay where they are today will certainly still be significantly better than they were last year and for that type of business.
Jim Suva - Citi: Diana, if they stayed where they’re at today, could we keep profitability still improving from today or does it start to catch up given the six month lag?
Diana Reardon: In the near term here we expect to see lower volume in the cable business because of the seasonal nature of the fourth quarter. So I would expect the margins to comedown some but again not significantly.
Operator: Your next question comes from Matt Sheerin - Thomas Weisel Partners. .
Matt Sheerin - Thomas Weisel Partners: Just my question regarding your commentary, Adam, on the defense and aerospace business; I know it’s been down somewhat and I no one of the headwinds has been the fact that a chunk of the business goes through distribution and they’ve been very cautious with inventory. Are you seeing signs of the point-of-sale or sell through at distribution improve and would you expect them to start to bring inventories back?
Adam Norwitt: Certainly the distribution has been a big impact to the aerospace business. It’s not an insignificant portion of our sales and as I mentioned in the prepared remarks, we started to see towards the end of the quarter some signs of strengthening and that includes in the distribution channel. Whether that continues, whether that is directly a reflection of their end orders or whether they will build inventory, I will be surprised if there’s significant inventory rebuild among our distributors. I think they’re continues to be a healthy amount of caution. I think to the extent that programs in the aerospace are funded, and then flow down to the distribution channel in terms of real orders then we certainly would expect to see strengthening. I think that’s what we started to see towards the end of the quarter was not because of a rebuild of a balance sheet for our distributors, but rather they start to get orders and those orders would translate somewhat to us.
Matt Sheerin - Thomas Weisel Partners: Then just on the M&A front, could you maybe update us on where you stand there? Doesn’t look like you did anything in the quarter, although I think you talked about $1million on the cash flow line related to inventory, so maybe you can elaborate on that?
Adam Norwitt: We did not have any deals in the quarter, as we’ve talked about before some of the deals we do in the past have some contingent payments to them and that’s what that million dollars was. We continue to have a very strong pipeline. I think we see continual receptive it among the companies that we talk to the Amphenol story and we have a lot of efforts ongoing in that acquisition pipeline and I’m very confident that in the future and over the short and medium term that will continue to build for us. It’s just very important that one understand that when we look at acquisitions, we are not looking through an auction process necessarily, we’re not kind of trialing Wall Street, but rather we are working out in the field with companies and the industry to incubate those acquisitions and that incubation process has been a very successful process for us over the last decade, where we are able to complete nearly 40 acquisitions. As we look forward in the end of 2009 and into 2010, we feel very good about that pipeline and I think as Amphenol has come through this economic situation so strongly, that actually adds to the attractiveness to Amphenol as a partner for many entrepreneurs. They see a company can come through such a cycle, continuing to have the profitability that we have without going through this kind of upheavals of restructuring, that has been really a great story to tell in the acquisition market and gives us good confidence for the future in that pipeline generation.
Operator: Your next question comes from Shawn Harrison - Longbow Research.
Shawn Harrison - Longbow Research: In terms of the working capital management that was fantastic this quarter, where can we see the cash cycle go from here and maybe kind of what would be the primary levers that are easily available to you to maybe take the cash cycle down another couple days as we look out over the next few quarter?
Diana Reardon: I think that we’ve done in each quarter this year a really good job from a working capital management standpoint. There’s been a lot of work done at the operating unit level all around the world to achieve what you saw and in the third quarter, I think in particular, whether it was receivable days, inventory days, liability management, really did a great job and created quite a bit of incremental cash as a result of that. I don’t think that you should expect that the metrics would get better from here. I think the metrics we’ve achieved given the global nature of the company are quite good and quite strong and I guess if I was thinking about cash flow from a modeling perspective in Q4, it would probably make sense to look at a more normalized level and I think if you thought about free cash flow at say 100% of net income as opposed to the amounts that have been quite in excess of that for the first three quarters this year that probably would be more in the range of what you should think about for Q4 and also as we move into next year.
Shawn Harrison - Longbow Research: Two quick follow-up questions, there was an earlier question about cost may be coming back at the end of the year, but maybe if you could talk about not providing guidance for 2010, but should we expect any cost increases that were maybe temporary reductions in 2009 coming back that would maybe impact the P&L? Then just kind of a longer phase question on the three acquisitions that have been made over the past say 12 months, Adam could maybe speak on just how that gestation period is in terms of cross-selling those products kind of the opportunities you see over the next six months in terms of the ability to accelerate sales growth in those businesses?
Adam Norwitt: So, relative to the first question, we do not take these kind of temporary fixed cost reductions this year, which then have kind of a spring loading effect going into next year, whether that be salary reductions or things like this. This is not been how we’ve gone about it. We’ve taken a lot of cost out of the business, but that cost really goes out of the business and so there should be no expectation there’s kind of a spring loading of costs that would come in next year. Certainly, there are the costs which are higher today in raw materials and would expect some wage increases in places like China next year, but nothing that is abnormal in light of the cycle that we’ve come through. Relative to the acquisitions that we’ve done, we’re very, very pleased with all of these acquisitions that we’ve completed over the last year. Most notably was obviously, the acquisition the first quarter of Times Microwave, which is an outstanding company. We knew it was outstanding before and that has only been confirmed with its joining together with Amphenol. As we’ve talked about in the past, we don’t go through quarter end integration period with these companies. They are part of Amphenol really on Day 1, and then we work together to seek to open up new opportunities in the market for them. We certainly have seen those opportunities very, very clear in our minds with Times Microwave and with the others and we continue to prosecute on those. These don’t come really right away, they don’t come by flipping a switch, but they come to the activities that have started really since the first day of the company and we’re optimistic that those will generate good long term gains for the company.
Operator: Your next question comes from Craig Hattenback - Goldman Sachs
Craig Hattenback - Goldman Sachs : Can you just highlight maybe the top one or two markets from a new product and design win momentum perspective that you’re most optimistic on from a growth perspective going into next year?
Adam Norwitt: I wouldn’t comment specifically on what will grow next year, but I can tell you what we’re very excited about and we have exciting prospects in every one of our markets. I would just mention for example in the IT and data com market where we clearly see just acceleration of demands from our customers on high speed products. We see these high speed products across the board, whether that be from the back plan to the IOs, to the cable assembly just a tremendous amount of momentum that we feel that we’re seeing with our customers and that momentum actually was not really impacted by this economic downturn, because the demands on our customers and on the carriers and enterprises who buy their equipment have actually accelerated during this downturn whether it be because of data rich devises, which are now taxing the network, whether it be because of new functionality coming on the internet. So we see a real increase in those activities and we saw that certainly start to materialize where these programs start to create real production volumes and that’s actually very, very exciting for us as we go towards the end of this year and into next year. I think the other area clearly where we see strong momentum is everything related to power and that power ranges from hybrid cars, it ranges into alternative energy, even into data com equipment and we mentioned we saw good demand for our power products into data com equipment. Power has become a differentiating factor for our customers as they seek to take their product to market. The demands on power consumption are just exploding really and the interconnect products and technologies that we’ve developed that help a more efficient power interconnect in a system are seeing just a great reception from all of our customers. So those are two areas where we see strong up tick. Certainly you could point to many others whether it be RF, aerospace, but we see good opportunities really across all of our markets.
Craig Hattenback - Goldman Sachs : Then as a follow up can you talk about trends by geography and if they change much as you progress through the third quarter?
Adam Norwitt: No. I wouldn’t say that we’ve seen significant changes in the third quarter. Certainly by geographical region we saw stronger performance in Asia in the quarter, which is no real surprise when you think about the holiday periods that come in North America and Europe and we certainly talked about on the last call that we expected especially in that aerospace and industrial, which is a more North America, Europe business to see some typical seasonality. Asia was very strong growing in high single digits and we expect in the fourth quarter to have somewhat of a balanced performance actually.
Operator: Your next question comes from Wamsi Mohan - Banc of America/Merrill Lynch
Wamsi Mohan - Banc of America/Merrill Lynch: You mentioned, Adam some reports of component shortages at other places in the chain, but did you have any demand that you were unable to fulfill in the quarter it all because of any product shortages at your end?
Adam Norwitt: The fact is that we’re very proud that in Amphenol we have been able to turn really on a time here and respond to up ticks in demand extremely well. We were able to do this in the first quarter with the 3G build out in China where we were able to satisfy demand even faster than our customers expected. Very proud to say that in the third quarter in those markets where we saw the demand coming we were able to do the same thing and there was no material area of the company where I could say we either suffered from a capacity issue or a component supply issue to the contrary, we are in very, very good shape in terms of having satisfied all of the upsides that our customers have given to us. The comments which came from some other earnings releases today really seem to be with respect to other components, but that’s certainly if someone is making a mobile phone and they can’t get all of the parts they may not also need the connector or the antenna that’s a moment, so those other component shortages could affect some demand for us, but we feel very good about our ability to satisfy any of the upside today.
Wamsi Mohan - Banc of America/Merrill Lynch: Can you give us any sense of the monthly transfer from a book-to-bill standpoint how that progressed through the quarter?
Adam Norwitt: I think the third quarter is always very back end loaded in both respects, whether it be orders or revenues. If you look in Europe and North America, people will comeback from vacation and place the orders in September. I think you would expect kind of the inverse in the fourth quarter with the stronger front end and the holiday impacted week or back end.
Wamsi Mohan - Banc of America/Merrill Lynch: Last one for me, did you make any headcount changes in the quarter at all?
Adam Norwitt: Headcount was up slightly in the quarter, again because of how the monthly waiting happens. Certainly we had much stronger, much more back end quarter in terms of revenue and that impacts headcount. So there was increase in headcount towards the end of the quarter to satisfy that demand.
Operator: Your next question comes from Amitabh Passi - UBS.
Amitabh Passi - UBS: Adam, my first question for you is any preliminary thoughts on how best to think about the first quarter? I mean it typically tends to be a seasonally softer quarter for you, but we also have Chinese New Year, that’s a little later this year, so I’m just wondering, could we see sort of relatively muted seasonality this year going to the first quarter or any thoughts you have around that?
Adam Norwitt: We’re not giving guidance for the first quarter at this time. I think it’s still too early to extend our guidance beyond the quarter that we see. So I wouldn’t really make any comments relative to the first quarter at this stage.
Amitabh Passi - UBS: Okay and then just any update on the overall pricing environment, what you’re seeing out there?
Adam Norwitt: Yes. I think that we’re very sensitive to pricing and we’re very disciplined on pricing across all of our markets. In the interconnect segment of the business, we are very mindful with all of our customers about pricing and we’re aware that in an environment like we’ve just been through there could be competitors who would price in a way that we would not see it so rational. We’re not the first mover on this, but we’re very prepared in the event there’s going to be any moves on pricing through getting our costs down and we’ve done an excellent job in addition to adjusting to volumes to also continue our ongoing efforts of getting our cost to be the most competitive in the industry. We haven’t seen anything notable, but you certainly have to keep your eyes open for it at a time like this. I think the commodity increases could moderate that as you go into these negotiations with customers, you can at least hold something up and say that these prices are high. In cable, we are very sensitive to it, and again we’re going to be disciplined. We’ll never be the first mover in that market and we’ll be very, very mindful to stay disciplined on pricing.
Amitabh Passi - UBS: Just my final question, did I hear you correct, you said you expect moderate improvement into wireless infrastructure business in the fourth quarter and if that’s correct if you could just maybe shed some light in terms of where you think the incremental strength might be coming from, is it China, broad based any color?
Adam Norwitt: I’d say it’s more broad-based. The third quarter you have in certain areas especially in Europe, some softness that comes with the vacation periods and we would expect to see stronger performance in certain of those areas in the fourth quarter. It’s not tied to any kind of one noteworthy build out. It’s more a general perception from our customers that they see some moderate strengthening of demand in the fourth quarter compared to the third quarter.
Operator: Your next question comes from Jeff Beach - Stifel Nicolaus & Co.
Jeff Beach - Stifel Nicolaus & Co.: Correct me if I’m wrong, but thinking back on the early stage of the recovery back 2003 and 2004, one of the areas that you were outstanding in relative to the industry was the wireless infrastructure up when for a long time, when the industry was down and as I remember, the IT data com was kind of a real sluggish segment for you in the early part of the recovery as some of the other businesses were doing well. Here it sounds like IT data com is almost the reverse. It’s accelerating and I remember back then you had the powerful orientation towards high speeds and you’re saying that’s helping you now, what’s changed in IT data com, and should we look for a similar performance coming like in the last recovery in the mobile infrastructure ahead here?
Adam Norwitt: I think a number of things have changed. Certainly we added TCS in the interim, which gave us tremendous capability on high speed back plain interconnect products and that’s something we did not have at the time of the last sort of rebound if you will. I think also just the nature of this downturn and the last one relative to IT is somewhat different. That was an IT lead crisis with the Y2K and all of these bubbles. This was a credit crisis, which impacted companies short term spending on IT equipment and I think what we have seen is some rebound in that spending among Enterprises. We also have today a much broader portfolio of products. Not just the back plain, also the IOs, the power products related to the IT hardware. So we have today a very, very different portfolio of products that goes into the IT and data com markets. Relative to the wireless infrastructure it’s true we had strong demand at that time and that was through really a globalization of our efforts, where we had expanded globally. Today we have a comprehensive coverage globally on the wireless infrastructure market, really in every geography. I think we have just a tremendous balance and diversity in that business today, which will serve us very, very well going forward. We’re not dependent on one or another investment to be successful in that market and we’re optimistic that overtime the demand for new devises will drive them the demand on the networks, which will be a very strong growth contributor for Amphenol.
Operator: Your next question comes from Brian White - Ticonderoga Securities.
Brian White - Ticonderoga Securities: I’m curious with demand improving here, how your customers are thinking differently about 2010 now?
Adam Norwitt: I think, they’re thinking that there will be a 2010. They’re very happy that they’ve come through this environment and see that the world did not collapsed here. I think all of our customers are concerned like we are with where they, how are they going to be competitive. I think the competitiveness that the customers are sensitive to is a great benefit for Amphenol, because we see among everyone of our customers a new drive as they face new competitors globally. Some of them are facing people who used to be partners and now they view then as competitors in the IT market you see this real consolidation for example. What this creates for us is a tremendous opportunity, because the application and the performance of the product become even more acutely important to them. So we’re able to enable their products to perform at a higher level and thereby help them to win in what is becoming in some of these segments a hyper competitive market. It’s great news for Amphenol for the future and I think as we look forward to 2010, I think some of our customers are sitting here worrying about who are their new competitors for us, it’s all great news because that allows us to proliferate our technology and do very well in the marketplace.
Brian White - Ticonderoga Securities: When you look at your comments on IT and the data center, are you seeing more activity in the networking area or more in the computing area?
Adam Norwitt: I think we’ve seen it in both. It seems at least that when enterprises, who stopped buying in the first quarter and fourth quarter of last year. They didn’t just stop buying networking equipment and stop buying servers. They stopped buying everything, and so whether it is in servers or storage or in that networking equipment, we’ve seen in general an up tick in demand in the third quarter. We also see strengthen the carrier related IT, the real sort of core of the system and so I wouldn’t point to one or another of the sub segments to say they are stronger than the other. It seems to be a general increase in the sort of willingness of enterprises to get back to spending what they more appropriately should be on their networks.
Brian White - Ticonderoga Securities: Just finally on headcount it went up a little here. How should we think about headcount moving forward, we’re on a path to recovery, so are you at utilization rates with your current employee base that you need to add headcount over the next year?
Adam Norwitt: I think one thing that’s very important to recognize is headcount went up, but it went up only essentially with operators, people making product. We’re being very disciplined on not adding the indirect and the salary overhead headcount. We will add people retrofit to the demand that we see based on what products need to be made. Some of those products are more labor intensive and some are less labor intensive. Depending on what we see in demand, we will add people and we’ve shown an ability to flex that headcount very rapidly in order to satisfy the demand and not create bottlenecks. So I think to say how we should think about it in the future, we will think about headcount relative to what demand we see. Relative to the fixed infrastructure of the company, we will strive very hard to keep that as limited as possible to gain that operating leverage that we expect to get in this upturn.
Operator: Your final question comes from Amit Daryanani - RBC Capital Markets.
Amit Daryanani - RBC Capital Markets: I just had a few quick follow-up questions. One, the accrued salaries line on the liability side went up quite a bit sequentially. Could you just talk about was that FX driven or just a reflection of year end comp that needs to be paid out in the December quarter?
Diana Reardon: There’s certainly some FX impact on the entire balance sheet as you look through it, I wouldn’t want to talk specifically on a line by line basis. I think that as these accrual accounts depending on when payments are made in a particular month or at month end, go up and down in various quarters, I think as Adam said before, September is a big month in the quarter so that had some impact on the balance sheet also.
Amit Daryanani - RBC Capital Markets: Just on the FX side, could you just talk about how do you think about FX when you actually provide guidance for December quarter as you guys did? Do you look at the currency that the end of September 30, and base the guidance on that or how do you think about that?
Diana Reardon: We tend to take current exchange rates and commodity prices and so forth at the point in time that we make the forecast. We’re not doing any sort of studies in projecting forward where we expect rates to be. We’re really using the rates that are actual at the time we give the guidance.
Amit Daryanani - RBC Capital Markets: So down of that would be based on basically yesterday? So what about the FX and everything else was yet last night or would you be just looking to…?
Diana Reardon: We’re not quite as fast on that. It will be a few days before yesterday.
Adam Norwitt: Operator, at this time, we’ll take one more question, please?
Operator: There are no further questions at this time.
Adam Norwitt: That’s great. Well, thank you very much and once again we appreciate everybody’s participation in the call and wish you a very pleasant end to October.
Operator: Thank you, all for joining today’s conference. You may disconnect at this time